Operator: Good day, ladies and gentlemen. Welcome to the Q4 2018 Investor Call. I would now like to turn the meeting over to Ms. Aurora Davidson. Please go ahead.
Aurora Davidson: Thank you. Welcome to the annual and fourth quarter 2018 investor conference call of Amerigo Resources. I am Aurora Davidson, Executive Vice President and Chief Financial Officer. Before we begin the presentation, let me caution you that our comments and discussions will include forward-looking information within the meaning of applicable securities legislation. Forward-looking information will include, among other things, forecasts and projections about our copper production for the year, which involves known and unknown risks, uncertainties and other factors that may cause actual results, performance or achievements to be materially different from such forecast and projections. Therefore, although, we believe that anticipated future results, performance or achievements expressed or implied by the forward-looking information are based on reasonable assumptions and expectations, you should not place undue reliance on such forward-looking information. We direct you to our press release issued on February 21st, our other documents filed with the securities authorities in Canada, including our annual information form under the heading description of the business Risk Factors. This document describes the material factors and assumptions that were applied in drawing the conclusions and making the forecast and projections as reflecting the forward-looking information, as well as the material factors that could cause actual results, performance or achievements to differ materially. Except as required by law, we undertake no obligation to update or revise any forward-looking information made in this presentation. Rob Henderson, the Company's President and Chief Executive Officer, will now provide an operational and corporate update.
Rob Henderson: Thank you, Aurora, and thank you everyone for joining the call. Amerigo had a very successful year 2018 despite the negative headwinds from the markets. MVC delivered record copper and molybdenum production. We completed the MVC Phase II expansion projects and we reported earnings of $0.06 per share. Amerigo generated net income are $10 million in 2018, paid down $20 million in this and ended the year with $21 million in cash. Over the course of 2018, the copper price dropped from 3.10 a pound to 2.70 a pound. The average copper price we report for the year ended up that’s 2.92, round about where it is today. Analysts continue to be optimistic on a long-term copper price. However, there is considerable variation in the shorter term view points. Our banks consultants Wood McKenzie continued to be bullish and see copper prices increasing to 3.54 per pound by the end of this year. Others see prices going back down to 2.63 by the end of the year before increasing again into 3.25 later on in 2021. So there is a large discrepancy in the short term copper price projections. And these are probably due to the uncertainties in global trades particularly in U.S. and China. And this uncertainty in future copper prices does have an effect on our ability to pay a sustainable dividend. However, our policy does remain to return one-third of our earnings to our shareholders. On December 21, 2018 MVC successfully met the Phase II expansion project completion tests set out in our $35 million financing agreement and recoveries from Cauquenes increased from 31% up to 45%. On December 6, 2018, Chile's President, Sebastian Pinera, visited MVC to attend the ceremony celebrating the startup of the new process plant and a very positive press release was posted to the Chilean government Web site. MVC annual copper production 2018 was a record 65 million pounds of copper at a cash cost of $1.56 per pound, which was at the low end of guidance. Although, MVC successfully completed the Phase II expansion projects in Q4, the project was about two months behind plan and the ramp up and recovery was slower than expected and the quality of materials expected from Cauquenes was a bit lower than expected. And these issues contributed to a lower than planned copper production in 2018. Molybdenum production was a record of 1.9 million pounds and our guidance. For the year 2018, MVC produced 44 million pounds of copper from historic Cauquenes projects and 21 million pounds of copper from fresh tailings. And in Q4, MVC produced 18.5 million pounds of copper at a cash cost of $1.45 per pound. So looking forward to this year, we have three key objectives, first, to deliver on guidance, which is 80 million to 85 million pounds of copper at an annual cash costs $1.30 to $1.45 per pound. Keeping in mind that the second half of the year is expected to be significantly stronger than the first half, and the Q1 mine plan will see weaker grade and recovery due to the area that we're mining in Cauquenes right now. And the tons will also be affected by the annual scheduled maintenance shutdown, which traditionally happens in Q1. So, we do see a weaker than average Q1 coming up. The second objective in 2019 to ensure MVC's liquidity and continue to pay down debt, over the last three years, we have invested over $114 million into Cauquenes during the lowering copper price cycle. And I believe that we are now well positioned to take advantage of future increases in copper price. The third objective is to continue investigating opportunities, to utilize our expertise on other copper assets and tailings deposits. We believe the business model at the El Teniente is a good one and favorable to other assets. We've had an excellent fourth quarter headlined by our completion of the Cauquenes expansion projects plus our very low cash costs, the lowest in a decade. We're continuing to deliver on our promises and the company is very well positioned from future increases in copper price. I'll now hand you over do Aurora Davidson to discuss the financials.
Aurora Davidson: Thank you, Rob. As Rob mentioned, we are very pleased to report strong annual financial results for Amerigo. The 2018 production and cash flows guidance were met, and Amerigo through its operating subsidiary MVC, produced 65 million pounds of copper at an annual cash cost of $156 per pounds. And the company posted net income of $10.5 million or $0.06 per share. The company has essentially completed the Cauquenes expansion, which was done in two phases over a period of more than three years at a cost of just over $114 million without any devolution to shareholders. The company's balance sheet at year end showed very positive cash position of over $21 million and current assets of over $42 million. We do however have a working capital efficiency at close to $17 million given we have ahead of us $22.5 million in scheduled bank repayments in 2019. This is slightly higher than the close to $20 million of debt the company repaid 2018. So we're not that far off or that different from 2018 all together. The company's remaining debt at year end 2018 was comprised of the two bank loans undertaken for the Phase I and II of the Cauquenes expansion, which are scheduled to be fully repaid by December 2021. Both loans however have three payment options and under the right copper price, they could be fully paid earlier than scheduled. As shareholders that have been following us for some time know, we are very highly sensitive to copper price and our financial performance responds in a very significant manner to changes in copper prices. In 2018, our average copper price was $2.92 per pound and today's LME copper price was up to $2.94 per pound. Another factor that affects earnings are the changes in copper price from one quarter to the next. This is so because we have an M plus 3 price convention for our copper sales where the final settlement price is the average price for the third month following production of copper concentrates. At year end 2018, our Q4 revenue was booked at a provisional copper price of $2.77 per pound. And the final prices will be the average copper prices for January, which was $2.69 per pound, February, which as of today has an average of $2.82 per pound on March. A 10% change in the $2.77 price per pound that was used provisionally would have an effect in higher or lower earnings of close to $5 million in Q1 2019. For the current years, we have provided guidance of 80 million to 85 million pounds of copper at an average annual cash cost of $1.30 to $1.45 per pound. And as Rob has mentioned, we expect lower production and higher cash costs an average in Q1 2019. We usually get asked what the CapEx we expect -- what is the CapEx we expect in the current year. Sustaining CapEx for 2019 is expected to be $5.8 million. A substantial factor that will be affecting our performance in 2019 will be the copper price. It is a factor we cannot control and to which the company chooses to remain fully exposed. Most of the research continues to stand behind a positive supply demand outlook for the year. And with Mackenzie, we rely on being the market advisors of our lenders is predicting a market deficit of 280,000 tons for the year, which is doubled our estimated deficits for 2018.  All of this being said, the start of the year for copper was weaker than expected most likely due to trade tensions and not too favorable macro data. In October 2019 and this is three year union labor agreement it's up for renewal, we have an open and a cordial relation with our union leaders and members, and we expect to conduct productive negotiations in the fall of 2019. Rob and I will now be taking questions from call participants.
Operator: Thank you. We'll now take questions from the telephones lines [Operator instructions]. The first question is from Joseph Reagor from Las Vegas. Please go ahead.
Joseph Reagor: So two things, I guess the first one being on the CapEx guide. That $5.8 million, is that something we should look at as a reasonable expectation moving forward or is this year a little lighter than most? Or how should we think about that long term?
Aurora Davidson: We normally work on the basis $5.5 million of sustaining CapEx. When the Cauquenes expansion was -- the first phase of expansion was completed, we worked on the basis of $5 million per year as a reasonable assumption for sustaining CapEx, which we have adjusted for inflation. So that's what takes us to the $5.8 million. Most of our CapEx is associated with sumps the Cauquenes extraction area. And of course, we have other CapEx associated with minor projects. But I think that on the basis of $5.8 million annual is reasonable in years where we will be conducting new construction of sumps for transfer Cauquenes.
Joseph Reagor: And then bigger picture, the two part question. One M&A front whether you guys are looking for anything or anybody reaching out to you guys? And then second part of that question is on the valuation you guys received in the market, there seems to be some disconnect from what the cash flow would suggests. I mean even if I just assume you get a clean dollar per pound at today's prices on 80 million pounds less capital spending. You're still looking at something between $60 million and $70 million of cash flow from an outsider's perspective or an EBITDA level. However, you want to look at it? And then not a lot of debt load, comparatively it's about one times or less, plus you have cash. Your valuation in the market seems like its one third of what your valuation as a private entity could be. Any thoughts there as far as what opportunities there are for you guys to maybe capture some of that value?
RobHenderson: Certainly, on the M&A side, we continue to value opportunities. I would like very much to have second asset in complement MVC. And where we actually looking we haven't found one yet, but we are very active in the space. So I think the story remains consistent there. We are looking for other acquisitions, other tailings assets that we can apply the secret sauce at MVC and generate value from tens different materials, so we remain active on that front. Your second question, it is frustrating that market still hasn't fully recognized benefits. But I think this applies to the whole junior space in the whole, investors have not really returned back to mining space. And they're still treating it with kid gloves. We're seeing the share volume traded in all of equity and mining equity was extremely low to last year. So investors are just not got the hedge back in this space yet. So I believe as we continue to generate positive earnings once we start initiating dividends, I think that will certainly be a market for people to watch out and take notes of what we're what we're doing. So, we are making money, we do have the potential to make a lot of money as the copper cost rises. And I think we just have to be patient and keep getting message out there that investors take a very close look at our stock, so that it's very highly geared to the copper price and profitable.
Operator: Thank you. The next question is from Stephen Ottridge from Vancouver. Please go ahead.
Stephen Ottridge: This pullback in Q1, what percentage are we looking at, 10% pullback or something? You've said some kind of estimate… 
RobHenderson: The mine plan in Q1, we're going to be putting in new sumps which take us on to the bottom of Cauquenes, so there's a lot stuff happening. And to do that we have to move some material that has lower quality than the average material. So the grade is going to be a grade lower than normal. Compounding that we have the maintenance shutdown and it traditionally takes place in Q1. So I think Q1 is probably going to be about 15% or lower from the average and then we gain it back in Q3 and Q4. But Q2 gets back to normal, Q3 and Q4 we will over produce by 10%, 15%.
Stephen Ottridge: So I was looking at the numbers and looking at the Q4 number that came in and thinking well make an estimate just for the following year. Just take that each quarter and that will come in with pretty good numbers, right?
RobHenderson: The numbers I believe are going to be more than fine. We come up with our guidance of 80 million pounds to 20 million a quarter. And through Q4, we didn't quite get up to 20. Q1 we're not going to get there either. So we're going to get above 20 million in Q3 and Q4. So again, I think that's the message, don’t panic when you see lower than normal numbers coming out in Q1 and Q2, that is planned that way.
Stephen Ottridge: No, I certainly won’t. I think your produced 1.1 million pounds of copper was produced but not sold in Q4. So that's a bit of cash that hanging over for the…
RobHenderson: It is, Aurora can address that.
Aurora Davidson: It's basically just logistical issues associated with year-end logistics. We are not in charge of the transportation out of MVC. El Teniente takes care of that for us. So we had some issues associated with just year-end holidays and restricted working hours.
Stephen Ottridge: So nothing much there, but it is a bit of extra cash that’s likely to be there? 
Aurora Davidson: Absolutely, we don't like to see that.
Stephen Ottridge: The other is obviously we're talking about dividends coming up this year. Are you going to be -- do you think dividends will be paid in Canadian currency and how are you going to do it quarterly or semi-annually?
Aurora Davidson: All dividends will be paid in Canadian currency. And we normally have a semi-annual dividend policy, but that is subject to review by the board. But the payment will be in Canadian dollars.
Stephen Ottridge: And how many sumps do you have at the Cauquenes?
Rob Henderson: So what we have is one. We have six high pressure monitors all going down to one big pumping area. So that we've got six active mining areas that go to one central area and that one that one central area is round about 40 meters deep into the deposits and we're building one adjacent to, which takes it down to 50 meters down. So we're dropping to 10 meters deep there.
Stephen Ottridge: I just wanted to know how things will be done…
Rob Henderson: We found that it would makes sense, it's much easy to coordinate all these services and even we have one big sump rather than lots of little ones.
Stephen Ottridge: And I have one other question reading the things, its industrial water. What is that that you're buying?
Rob Henderson: That is we have three big thickeners at the end of the process, so we retrain all the water that we use internally. And that need flocculents it needs power, it needs some services in order to get that water back into the circuit. So as industrial water cost reflects the operating cost of the three big treating thickeners. 
Operator: The next question is from John Polcari from New York. Please go ahead.
John Polcari: Good afternoon. All my questions are answered. I just wanted to take the opportunity to thank Rob and Aurora for bringing the company successfully to the stage we're at where I think we're proud to take advantage of modest to considerably higher copper prices and over the last months to years, I think you've done a very successful job. That doesn't happen that often, I wanted to say thank you.
Rob Henderson: John, appreciate your kind words. Thank you.
Operator: Thank you. The next question is from Jason Nelson from Washington. Please go ahead.
Jason Nelson: I just wanted to see if we can get an update from you regarding the discussions you're having with your lending group about terming out the debt?
Rob Henderson: Aurora can address that, but I think we have the discussions that we planned to have. So I think that's later on really.
Aurora Davidson: We don't have any discussions at this time. We have provisions within our finance agreement that allows us to prepay debt without any penalty. We're actually required to do a cash sweep of 50% of any cash that we want to distribute prior to distribute it to shareholders. So that's a level of protection the banks have and we have addressed that before. So even if we didn't change any of the existing provisions, we could accelerate repayment within the current framework of the agreement. We could entertain having discussions with the bank later on in the year, but there is no absolute requirement to do that if we continue with the plan of distributing surplus cash as it becomes available through the generation of OpEx, operating cash flow.
Jason Nelson: Sure, and I understand that. I didn't know if there was some thought at the board level or within at the management level that now that the company's complete the last chunky stage of CapEx. And you're in cash harvesting mode, it's time you to talk the lending group about changing this more from a construction type loan to more of a going concern type debt package, which given the contract you have with MVC, I don't see any reason why financial institution would be reticent to offer your credit at this point.
Aurora Davidson: Absolutely, and it could evolve into just basically changing some of the other facilities that we have in place to having a revolving line of credit, or a line of our acquisition. And those are discussions that we will be or that we are starting to have at the board level. And that there will be more to report on that front when we report Q1 results. So it's something that's on our drawing board, John.
Jason Nelson: Just one quick comment, I think I can probably speak for some other shareholders, I think we're glad to see you on the hunt for other assets that would fit into the model and generate a great return. But I think from our standpoint until we see probably a two handle on the stock before you just return as much capital as you could in the form of a share buyback and/or a dividend. Is it just at this point a hard time finding an opportunity that is valued at even a levered free cash multiple of three times, which is where you are if you use copper and hit the midpoint of your guidance. So anyhow just want to share that and wish you luck and I am sure we'll be in touch in the near term. Thank you very much.
Operator: Thank you. The next question is from John Tumazos from Holmdel. Please go ahead.
John Tumazos: Thank you. Congratulations on all the good work. I was just going to say the same thing that a number of the large copper companies BHP, Rio, Vale until the catastrophe, Glencore Tech, Southern Copper, recently had buybacks. In your case, your stock is thinly traded. If you use just $1 million or $2 million on buybacks, it might have a very significant effect on your share price to the benefit. Maybe gives more muscle in a dividend. I think it also is in the shareholder interest for you to reduce the volatility of your stock price. And when there's a crazy day in the market, a buyback serves that purpose. Thank you.
Operator: Thank you. The next question is from Stephen Ottridge from Vancouver. Please go ahead.
Stephen Ottridge: Yes, I forgot. I didn't congratulate the two of you for an excellent job well done. I just initially got into asking questions. So, real good job. One other thing I didn't write down top of my list was with the current tailings, with the problems that Brazil has recently had with tailings dam. Do you have any responsibility or are they all up to Codelco?
Rob Henderson: Obviously, Brazil has a disaster and it just recently banned the upstream method of payment constructions and the Chile hasn't allowed it for years, and the zone now finally has banned. But certainly Board of Codelco's tailings facilities are very closely monitor and they placed a very, very close concern and scrutiny today to the tailings. So we believe that their tailings facilities are one of the best management in the world. I mean me we don't have the same concerns at all.
Stephen Ottridge: I also want to say about the dividends or buybacks. And I personally would prefer to see dividends being paid rather than coming in on share buyback. And I think you said that you'll get a different class of shareholder coming in when you do your regular dividend?
Rob Henderson: There is also a country difference. Our U.S. friends don’t get the same benefits as the Canadian friends get from dividend. So it tends to be -- we get discussion from U.S. and share buybacks are more beneficial for many Canadians, the dividends are more beneficial. But you're right as a philosophy, I think we do have a dividend policy to pay dividends so we will. Could we do share buybacks as well? Absolutely. So I believe we could do both.
Operator: Thank you [Operator Instructions]. There are no further questions registered at this time. I would like to turn the meeting back over to Ms. Davidson.
Aurora Davidson: Thank you. Well thank you all for participating in our annual and Q4 release call. We look forward to meeting you in approximately three months time to review the results for the first quarter of 2019. Thank you.
Operator: Thank you. The conference has now ended. Please disconnect your lines at this time and we thank you for your participation.